Operator: Hello, and welcome to Basic-Fit Full Year Results 2023 Call. My name is Laura, and I’ll be your cordinator for today’s event. Please note, this call is being recorded and for the duration of the call your lines will be on listen-only. [Operator Instructions]. I will now hand it over to your host, Richard Piekaar, to begin today’s conferrence. Thank you.
Richard Piekaar: Thank you, Laura, and good afternoon and welcome to everyone for this conference call during which we will discuss our results over 2023. With me today are CEO, René Moos; and CFO, Hans van der Aar. This call is being broadcast live on our website and a recording of the call will be available shortly afterwards. And as usual, I would like to point out that safe harbor applies. We will start now with Rene, who will discuss the highlights and the operational developments followed by a more detailed look at the financial results from Hans. After these prepared remarks, we will open the call for questions. The call will finish no later than 3 o'clock. With that, René, I would like to hand over to you.
René Moos: Thank you, Richard, and welcome everyone for joining today's call. It's only a short while ago when we last met at our Capital Market Day back in November, but still plenty has happened since. 2023 was an interesting year, as we were confronted with high-cost inflation right at the start of the year, higher rents, wages and especially higher energy prices. To deal with these higher costs, we made changes to our membership structure at the end of 2022 and continued in 2023. This worked out really well for us. Over the past year, we have spoken a lot about the impact from higher membership pricing and more joiners choosing the premium membership on membership development. Yes, it did impact membership growth, but we also benefited from the increased average revenue per member. This contributed to revenue growth and also to one of our main KPIs, the underlying EBITDA less rent. By the way, from now on, we will call underlying EBITDA, underlying EBITDA less rent to stress that this metric is after rent cost, as done pre-IFRS 16. I'm happy to report that, we ended 2023 with 1402 clubs, which is a record net increase of 202 clubs. We saw our membership base grow to $3.8 million as guided at our Capital Market Day. We recorded a 32% increase in revenue to $1047 million in line with our guidance of more than $1 billion. Lastly, our underlying EBITDA less rent went up by 28% to $261 million. Let's go to the next slide, on club opening. In 2023, we continued our ambitious club rollout path and expanded our network by 202 clubs to 1402. We opened 213 clubs, mainly in our growth markets, France, Spain and Germany, and we closed 11 clubs. With a net growth of 134 clubs, the French network increased to 781 clubs, or a plus of 21%. Recently, we opened Club 800 and we made sure, we got plenty of media attention in France, as we opened a club on the Champs-elysees in Paris. In Spain, we further accelerated our club opening program with a net increase of 49 clubs to 139, an increase of 54%. I will provide an update on Spain and the RSG Spain acquisition in a minute. In our newest growth market, Germany, we opened 9 clubs, arriving at 12 by the end of the year. As René explained in great detail during the Capital Market Day, focus will gradually swift towards opening more clubs in Germany, notably as from 2026. In the first months of this year, we've added five more clubs to our German network, including a second club in Köln. We now have 70 clubs open in Germany. Lastly, our Benelux club network increased by 10 clubs, bringing the total to 407. Let's go to the next slide about Spain. Last December, we announced the exciting news that we reached an agreement with the RSG Group for the acquisition of RSG Spain. The deal will add 47 clubs to our quickly expanding network. Including the new clubs we opened ourselves in the first month this year, it will lift our Spanish total to around 200 clubs. The new clubs can be found all over Spain, but there are a couple of strongholds like in Barcelona and the Madrid region. As you know, we already have a strong cluster in Madrid, but not yet in Barcelona. This deal will increase the number clubs in the Barcelona cluster to 9 clubs. A smaller number of clubs will also be added to our other successful and fast-growing clusters in Valencia and Seville. After the closing of the transaction, we will start with the rebranding of all McFIT clubs in order to be ready for the important September campaign. Including rebranding cost, the average amount we will spend on these clubs will not be much more than the normal new rollout. We will treat these clubs as new clubs in our network and they will be included in our full year 2024 network expansion target towards 1575 clubs. To conclude, I believe this transaction is great news for the Spanish people, as there will be more and more affordable gyms near where they live, work or where their friends work out. But we're not even halfway in Spain. Remember my comments made at the Capital Markets Day, we see potential to operating between 450 and 700 owned clubs by 2030 in Spain. Let's move to the next slide on membership growth. In 2023, our membership base increased by $450,000 to $3.8 million. In December, we experimented with marketing promotion on a limited number of locations, which resulted in decent sales numbers and which contributed to reaching the $3.8 million membership at the end of the year. This number could even been higher had we not increased our membership prices at the start of the year and convince more than 50% of the joiners to choose a premium membership. At our Capital Market Day, Hans went into great length to explain the impact on overall membership numbers from membership price increase and the much higher uptake of the premium membership by Jonas. Hans also showed information about our 2023 churn rates, which were in line with pre-COVID trends.  What is important for me is that, our membership prices remain affordable, but also that our main profit growth driver, our mature clubs had an average membership of close to 3,300. This enabled us to realize a return on invested capital of 35% on mature clubs. Despite the higher rent, the wages, and the higher energy cost. Our best performing countries in 2023. In terms of membership developments were Spain and the Benelux countries. In Spain, we are clearly seeing the benefits of higher brand recognition thanks to our increased presence all over Spain, and our expanding clusters. Our performance in France was somewhat impacted by the social unrest that affected consumer behavior in the first half of the year. Although, we observed a trend towards normalization in the second half, results still fell somewhat below expectations, due to a generally weaker consumer environment. In the first couple of months of 2024, the membership development in France continued to be slightly behind expectations. To support our French membership development, we are implementing initiatives that have been very successful in the Benelux countries. This should improve our performance as from the second half of 2024. Visible initiatives include longer opening hours of our clubs, and selectively also having clubs open 24/7. Another visible element is the installation of massage chairs in all our French clubs.  These chairs have been very popular in the Benelux and we expect to have them operational before the start of the post summer campaign. Let's go to the next slide. We continue to have a strong opening pipeline. In our club rollout plans for 2024, we have taken into account the uncertain macroeconomic developments and the wish to have enough liquidity. For 2024, we expect to increase our network from 1,402 clubs to around 1,575 clubs, including in this figure are the ASG Spain Clubs. As you can see in the chart, until mid-March, we grew our network by 57 clubs, adding the RSG Spain clubs. In the next few weeks, we'll lift our net growth total to over a 100 clubs.  Let's go to the next slide with our growth track record. The updated numbers on this slide show that between 2016 the year of our IPO and 2023, all our main KPIs, excluding average yield per member, have recorded a compound growth rate of between 18% and 22%, and that is despite two to three years of COVID restrictions. With all the plans we have in mind or our implementing and the continuous improvement of our product offering, I'm convinced we will continue to deliver strong growth rates going forward.  We've only just begun with our journey to make affordable fitness available to everyone, everywhere. Being affordable is something that is really important to us. That is why the increase in the average yield has been steady, but modest over the past years. But it will continue to climb towards more than 2,450 this year, and this will help us to further improve our club margin and return on invested capital. We expect to reach the 2,450 in 2024 despite the reintroduction of the basic membership for 1999, 1 club in France, and the founding member offer.  Founding members are the first joiners of a new club, up until the first week after opening, who can benefit from a low membership fee for the entire duration of their membership. The founding member campaigns have been increasingly successful with a higher level of membership at the start. You can call that a head start, which for as far as we can now see is maintained during the ingrowth period. As I told you, during our Capital Market Day, we are exploring how franchise opportunities could maximize our future growth and returns. Let's go to my last slide, which is about our franchise opportunity. You might recognize this slide from our Capital Markets Day. I believe it is important to remind you that we have a unique technology stack that we could leverage on a franchise platform. From the automated member administration and customer journey, the Basic Fit app with digital classes and coaching to site selection capabilities. We have all the tools available to help our future franchisees to be as successful as possible. Franchising would enable us to become active in more countries, possible also continents other than Europe. We are currently in the process of determining, which of the several franchise options we consider most suitable. We expect to have a clear view before the end of 2024. This concludes my part of the presentation. I'll now hand it over to Hans for the financial review.
Hans van der Aar: Thank you, René. This slide shows our income statement and our underlying performance. Total revenue increased by 32%, thanks to membership growth that René talked about and growth in the average revenue per member to 23.53. Total rent costs of our clubs were up by 19%, compared to 2022. The increase of course largely due to our fast-growing club network during 2022 and 2023. Rents of existing contracts were up mid-single-digits during '23, which is lower than the actual inflation numbers, thanks to a combination of having a lot of contracts with a rent cap and several successful rent renegotiations. Personnel costs in clubs increased by 28%. Again, the majority of the increase reflects our larger network. Excluding network growth, personnel costs were up in the high single-digits, due to higher than usual wage increases in especially the Netherlands and France. In France, we also paid the so called Macron bonus in June. The bonus is best described as an extra amount of salary. To mitigate the impact of higher salaries, we were able to reduce staff hours in the Benelux. The 55% increase in the other club operating costs is also largely caused by a growing club network, but also a significant increase in the average energy cost per club and higher debt write-offs of memory related bad debts. The average energy cost per club went up from around 25,000 historically to 46,000 in 2023. This increase is less than we communicated earlier due to a combination of the result of energy savings initiatives and benign weather conditions during the year. Write-offs of bad debt more than doubled in '23, compared to 2022 and are now more comparable to write-off percentages that were used to before the start of the pandemic. The reason why the percentage was very low in 2022 had to do with a low membership starting point in that year. Going forward, with the increase of French and Spanish members in the mix, we expect the write-off as a percentage of revenue to increase slightly further.  Over the past 18 months, we have spoken many times with you about our energy contracts and our expectations of these costs on a per club basis. We reported a lower cost of 46,000 per club over 2023 than the previously guided 55,000. Compared to our initial expectations, we benefited from a combination of the impact of our energy-saving initiatives, more favorable weather and lower market prices for the portion of our consumptions, where we had no fixed price contracts. For 2024, we expect energy cost backlog to come down further to 35,000 per club. We have now more than 80% of our energy consumption at a fixed price. For 2025, we have a fixed price for 75% of our consumption and we expect a further decrease in energy cost backlog of around 10%, compared to 2024. Despite just mentioned cost increases, we are able to report a 26 higher underlying EBITDA, club EBITDA that is, less rent of €398 million. René already mentioned that we have added less rent to this KPI. Rest assured, it's only the wording that we exchanged to increase clarity on this KPI. Overhead costs went up by 23% to €138 million. As a percentage of revenue, these amounted to 13.2% compared to 40.1% in 2022. At the Capital Market Day, I told you that we expect overhead costs excluding marketing costs as a percentage of revenue to decrease to a range of between 6% and 7% in the medium-term, compared to 8.2% in 2022. In the course of '23, we implemented a number of initiatives to realize cost efficiencies to achieve operating leverage. In 2023, overhead cost, excluding again marketing expenses were reduced to 7.8% of revenue and we expect to take another step towards a medium-term goal in 2024. Marketing expenses amounted to 5.4% revenue, compared with 5.9% in 2022. Our underlying EBITDA less rent increased by 28% to €261 million in 2023. As we had indicated previously, our second half of the year performance was better than that of the first half of the year, largely thanks to a gradual increase in average revenue per member that helped to offset high-cost increases at the start of the year. For the year, we have recorded a small net loss of €2.7 million compared with a small net loss of €3.7 million in the previous year.  However, on an underlying basis, we report a net profit of €27.5 million a 55% increase compared to a profit of €17.8 million in the previous year. This also allows me to point your attention to our finance cost line. The strong year-on-year increase to €51 million reflects higher Euribor interest rates and a higher average level of bank debt than in the previous year, but also a negative swing in interest rate swap valuation differences. Cash interest increased to 34.7 million from 20.4 million in 2022. The non-cash part of finance costs, which mainly relates to direct fit financial instruments and the convertible bond amounted to 16.5 million, compared with 5.7 million in 2022.  Let's go to the next slide on mature club development. As we consider our club mature if it's at least 24 months old at the start of the year. This means that roughly speaking, clubs are accounted for as mature in our reporting after approximately 30 months. Our 882 mature clubs ended 2023 with an average of 3,283 memberships. It's only slightly below the 3.326 we reported in the previous year for 502 mature clubs. The small decrease in the average mature membership is the result of club mix and the high uptake of the premium membership. The mix effect is the result of including the 2019 and 2020 vintages to the total, and these clubs that were impacted by COVID restrictions do show continuous growth, but have not yet reached that targeted membership base. At the Capital Markets Day, I told you about this effect, but also of the mixed effect of the regional clubs that we have opened in the past few years in France. As a result of which we gave a medium term guidance for around 3,250 memberships.  As you can see on the slide, we are reassuming full mature club underlying EBITDA less rent disclosure. An average result of 390,000 gives a 42 more marginal sales and a 35% return on investment capital. I have one more comment to make about this slide, and that's about a significant embedded earnings power, as club become mature. Even if we don't open a single new club, our underlying club, EBITDA less rent based on 1,402 clubs and the 390,000 could potentially increase to 547 million, but there's even much more potential. If I use our midterm mature club underlying club EBITDA less rent guidance or 460,000 and multiply that with our current club base, including year to date openings, I would arrive at a potential of close to 700 million.  Let's go to the next slide on CapEx and free cash flow before [new clubs]. The average CapEx for newly built club was 1.18 million compared to 1.17 million in 2022. For 2024, we expect CapEx of new clubs to be around 1.25 million. The small increase reflect a combination of modest cost inflation, the opening of more clubs in Germany where we are starting in a more expensive city centers, and lastly, fewer regional club openings in France than we had in 2023.  As a reminder, regardless of the initial CapEx for a club, we only signed a lease contract for new club when we expect to achieve heroic of at least 30%. Maintenance CapEx was 55,000 per club, which is similar to the previous year. For the period through 2030, we expect maintenance CapEx to remain around 55,000 per year. Other CapEx amounted to $12.8 million and is related to ongoing investments in software and innovations.  In 2023, this amount also includes the first investment that we made for the energy transition. We installed solar panels on head offices in several of our clubs and we started to replace gas heating systems by more energy and cost-efficient HVAC systems in those Benelux clubs that were still using gas systems. At our Capital Markets Day, we introduced a new KPI, free cash flow before new club CapEx. With the introduction of this new KPI, we want to highlight the cash generative nature of our business model, with clubs being mature in year three, with a 30% plus return on invested capital, which results in a fast growing network of cash generating clubs. In 2023, we achieved €131 million or €1.98 per per share in free cash flow before new club expansion, a marked increase compared to the previous year. Let's go to the next slide on financing. Net debt excluding lease liabilities, stood at €804 million at year end, compared with €694 million at year end 2022. The year-on-year increase reflects our accelerated club openings program. Including committed, but undrawn facilities, we had available liquidity of €250 million at year end 2023, which will enable us to pay for the acquisition of RSG Spain and continue our club rollout plans, while maintaining sufficient financial headroom. Following the successful amend and extent of our existing term and revolving facilities agreement that we announced last June, we face no significant short-term debt repayment. In 2024, debt repayments are limited to the repayment of €18 million of the German Schulzheim bond loan, bringing it to zero. The net debt to adjusted EBITDA ratio was 2.6x in December '23, and is well below the allowed maximum of 3.5x as agreed with our syndicate banks. Our mid-term leverage ratio target is still below 2x and with mid-term I mean two to three years. Let's go now to the final slide of our presentation, the outlook for 2024. I will conclude our presentation with our outlook for 2024. We expect further strong growth of our club network and membership base. For the full year, we expect revenue of between $1.2 billion and $1.25 billion. We expect close to 1,000 mature clubs will have a strong underlying EBITDA less rent performance, which will result in a return on invested capital of well over 30%. Lastly, we foresee a further gradual increase of the average revenue per membership to at least €24.50. This concludes our presentation. Operator, please open the lines for questions.
Operator: [Operator Instructions]. We'll take our first question from [indiscernible] with Barclays.
Unidentified Analyst: I've got a few, so I'll go one-by-one. Firstly, your guidance on revenue today at the midpoint, it's just below where consensus is. Can you tell me, you know, how you're thinking about free cash flow generation? So what is consensus for 2024 free cash flow given your guiding to it? And have your free cash flow expectations changed at all for the 2024 period or for the midterm? And more importantly, how do you actually feel about consensus underlying EBITDA expectation of 340 million for FY ‘24?
René Moos: Well, I can answer that question. As you know, as we told the Capital Market Day, we don't want to give any guidance on EBITDA, so I can't help you with how we feel about the consensus. If you look at the other cashflow, we don't, we'll not give any guidance again on net cashflow, but we continue to expect it further growth on the free cash flow prior to pension CapEx, as I explained and the message that I sent, I told you at the Capital Markets Day has not changed. This metric will grow in the coming years, but I don't want to give any guidance on free cash flow or talk about the consensus, but we don't want to give any guidance on the EBITDA numbers.
Unidentified Analyst: Okay, understood. Then next, it was known that the EBITDA mature club would be a little bit softer this year. You've got newer members coming in at higher price points, but then in older cohorts you're trying to get those to change to premium, you know, for the ARPU lift to come through. And then the cost inflation is also playing in. You did talk about this at the CMD last year. When do you think that that mature EBITDA club can actually recover?
René Moos: We also told you at the Capital Market Day, but we expect that the MDA and a mature club will grow to 490,000 per club. So it's now 390 club. So we expect to growth, sorry, 460,000 premature club. As we told before, those new clubs and also the mature clubs were highly impacted by the cost inflations that were immediately there at the start of the year and were in, were mitigated by the growth of our members during the year and the price increase that we did. So it took, takes, took some time to get to the high level that we want them to be, but we expect that the FDI on a mature club will grow to that number in the coming years, and that's the midterm. And as I said, the midterm is two to three years.
Unidentified Analyst: Okay. And last question from me, sorry. So you reported 250 million of liquidity at year end, which is before taking into account the RSG acquisition, you drew 110 million when you announced the RSG acquisition and 50 million, was that acquisition price, what's that 60 million difference used for, and how much of it is going, you know, for refurbishment and how much of it is drawing cash for kind of financial headroom?
René Moos: Yes, I think, what we said during this presentation is that we expect that the acquisition cost plus refurbishment will be the same as what we do normally on a club. So the drawing of thehundred team 10 million didn't exactly have to do everything with the acquisition. So the 47 RG clubs, on average will cost similar what we do when we build a new club.
Operator: And we'll now move on to our next question from Robert Bosch with ABN AMRO. 
Robert Bosch: Yes. Hi. Good afternoon, all. I have a couple of questions as well. First of all, the new club guidance or the club guidance of 1575, I think the general view was that that was a bit of a low number. And I'm just wondering you said 3000 clubs at least by 2030 and with only 175 aiming for this year, it means that in the next few years, you need to do quite a bit more than 200 collection average per year. So my question is, are you not worried that this goal at the low end of the longer term goal and more and more is getting out of sight? That's my first question.
René Moos : Yes. Well, I think, first answer is no, we don't think it's getting out of sight because, last year we did 213 clubs as we just mentioned. So for us, not a problem to open 250 clubs a year. So even if we decide, for instance, next year to do even less, let's say 125, so that at the end of next year we have 1700 clubs, we still think it is possible to reach the 3,000 and 3,500 clubs. So what we said during the capital market days that we want to grow faster when the world is normal again. So normal wars and all the uncertainty that we have currently. So for that reason, we would prefer a stronger balance sheet this year than more clubs.
Robert Bosch: Okay. That's clear. I have another question on the mature club EBITDA, once you just reiterated that midterm, you see 460,000 as a number for a mature club. Do you already expect to take a significant step in 2024 and towards that goal ahead? First 390, reported 2023, and related to that, what is the number of mature clubs that you will use in your calculations in 2024?
René Moos: The last part of the question will be around a 1,000 clubs, 993 clubs will be mature at the end of 2024 or in 2024. That's the metric that we use. And as you said, we'll grow gradually to the 460K in the midterm. So we'll definitely make a step in that FDA in the coming year, which won't be there at the end of 2024, because I said in the midterm. It'll definitely make a step, a good step in 2024.
Robert Bosch: That's clear. Thank you. And my final one, can you provide a bit more color on France? You specifically wrote about it in your press release and addressed it, that you're not on budget with membership development. Is that a matter of increased churn, a matter of lower gross membership additions, or maybe a bit of both? And you already said, that it is the general climate as well, but maybe a bit more color here? Could be of help. Thank you.
René Moos: Yes. To start, when we were in -- if you look back to 2019, we had in France 3,000, I think 800 members per club. So it was the country where we had most members. But it was also the country that was hit hardest during Corona. So during the Corona years is the only country that was closed longer than 13 months. So other countries were 8, 9, 10 months, and France was 13 months. But besides that, it was also in that period, that the restaurant, even this could take state open, but the gyms were closed that period that didn't help us a lot. So we lost a lot of members in that period.  And when the Corona was over, there was really a huge amount of unrest in France that also didn't help. So it's a combination of a lot of things, but we do see an increase. We are growing every month in France, but it's just slower than we would have hoped for. But by changing a few things, the two things for instance that we already mentioned, longer opening hour and different opening hours and the massage chairs and other things that we are rolling out, we are convinced that, in the September campaign, we will more or less go back to the period before COVID.
Operator: We'll now move on to our next question from Hans Pluijgers with Kepler Cheuvreux.
Hans Pluijgers: Yes, good afternoon, gentlemen. Most of my questions have already been asked, but two questions still from my side. You are guiding for, let's say, over 4 million members when the McFIT acquisition has been closed. Will you give some indication of what the precise impact on the number of members was from this acquisition? And secondly, on the financing cost, there are quite some moving parts in there from the swap and then the convertible impact. Could you give maybe some feeling or guidance what let's say interest cost would be or a direction of interest cost assuming stable interest rates?
René Moos: Will you take the first one?
René Moos: I'll take the first one, yes. If you're talking about members, if you look at the RHE clubs, it is always when you do a takeover, you always get in the start some cancellation. The exact number is not very clear, but I think you can work with around 100,000 members of the RGE transaction. With that and with the current already more than 140,000 growth that we had in the first two months, we are pretty sure that we will increase to over the 4 million members, yes.
René Moos: Hans, good afternoon by the way. But talk about the interest costs, as I said, we have a €16.5 million net cash and big part of that is due to the evaluation of our swaps. We want to fix the interest and due to the fact that our interest cost the interest cost went up through rates, we had to take a loss on the valuation of the swaps. And of course, the next part is the convertible bond. The non-cash interest of that is also part of the €16.5 million of interest cost that we have. We have €51 million interest cost with €16.5 million is non cash, €30 million is really cash interest and I think you can work with that number as cash interest for the future.
Hans Pluijgers: Okay. But the convertible of course is not fully dependent on impact on the share price or not?
René Moos: No. We have fix coupon on the convertible 4.25%. That's a low number. 1.5 sorry.But the remaining part of course has to do with the interest rates. The Eurobore is fixed based on swap contracts and the remaining part is based on the EBITDA versus the net debt, so the leverage ratios.
Operator: We'll now take our next question from Marc Zwartsenburg with ING. 
Marc Zwartsenburg: Yes, good afternoon. Thank you for taking my questions. First of all, can you give me a bit of an indication what the everyday contribution is from the acquisition in Spain for 2024?
René Moos: No, I think that's the short answer. No. I would say for now, no, because there are a few moving targets, but it will have a positive impact on our EBA.
Marc Zwartsenburg: That's because you don't know yet how many clubs you can open and how many members? 
René Moos: Correct.
Marc Zwartsenburg: Alright. Then, already asked a bit on France, slower membership enrollment, but you also mentioned, I think in the presentation, expect recovery in the second half from the longer different opening hours and last years. So that's built into also in your guidance. I assume that you have a recovery in France built in in the second half. Is that correct?
René Moos: Well, yes, yes and no. What is correct is that we're very comfortable with this 1.2, 1.25 billion turnover.
Marc Zwartsenburg: Fully include a recovery enrollment, but cautious.
René Moos: Yes, correct.
Marc Zwartsenburg: Okay. Then on the energy costs, it came in quite a bit lower than guided and we had a Capital Market Day, so maybe we could have flagged that a bit, but why does it, why can it be so different from initial guidance and why should I then assume that the 35K for this year is the correct number? Can you maybe explain me that a bit?
René Moos: Well, as I said several reasons why that the number is lower, can’t be denied that we were helped by nice weather. So it was warmer in the winter and colder in the summer. And the most used energy part is the air conditioning. So if you don't have to put it on in the summer, that really helps. So can't be denied that weather has an impact on that. But also we started, as we said with an energy transition program.  So changing the gas usage of the, mainly the Benelux clubs to only electricity and putting in new systems that really saved energy, but also more help for our people, to give them more commitment to use less energy at the club. So don't open doors and putting on the heating and also putting on the air conditioning at the same time, so that also save low hanging fruit. That really helped lowering the usage of energy. We said we will give guidance on the 35,000 for 2024. Yes, that's a guided number. So if our energy transition and energy cost savings will continue to be that positive and so successful, then it can be a lower number. But we want to give guidance on the 35K per club.
Hans van der Aar : And I think it's also, good to know that in a lot of clubs we only get at the end of the year or the beginning of next year, the exact overview of what the cost was. So, maybe you would say, well, you could have told us in November then it was lower than what you predicted, but we also had to wait for invoices to come in in January and February. So all in all, I think the weather helped us a lot. And also what Han said that the saving energy saving is starting to pay off.
Marc Zwartsenburg: Yes. Then, all cash flows, you opened a bit, a little bit less clubs and I think also, yes, cashflow pre-opening was a bit…
Hans van der Aar : Yes, we still have a, potentially, according to me, my estimate's a little bit cash out for this year, despite the lower number. Why should we then assume that you can open 250 clubs and be cash for positive in the coming years? That's a bit of a…
René Moos : Yes. The thing is what Hans said is that we get every year more mature clubs and that we think that the mature clubs are increasing from 390 to 460. So that means the coming years the EBITDA will also increase. So if the EBITDA, if you look at last year and the year before, we had an increase of around 60 million. So if that is a number that continues the next five years, then we can easily open 400 clubs. We get more and more mature clubs. So it's not that the EBITDA growth suddenly stops.
Marc Zwartsenburg: No, we're getting more clubs the next three years, because you need more than a 100 million MDA growth in the next years then… 
Hans van der Aar : That we grew, if you compare 2022 or 2023, we grew with more than 30% on in MDA. So we, if you continue with a grow metric, then we will reach a much higher MDA then we presented now. And of course we'll definitely look, as Rene said, we'll definitely look at a balance sheet and look at the available liquidity, which we are still confident that we can reach that goal that we said at the capital market day in the coming years of 2030. Well, that could mean that we'll open more clubs in the last part of the 20s and then in the first years.
Marc Zwartsenburg: The thing is only of the market that if you took your off with your bar chart on pre-opening, the free cash flow, you can do the math or the openings then can be to break even on the free cash flow. And that is -- that would be the 175 clubs roughly if you take the bar charge. But now that's not the case because you will still be cash for negative. So how do you look at that? Had you considered even to open 150 clubs this year to be at least three cash for positive? Or was, is that not the driver behind the other 75 is pure micro.
René Moos: Not the driver, is that we at least want to have a certain amount of cash available. And with this 250 million that we have available end of last year, we are very comfortable with this 1,575 number.
Marc Zwartsenburg: And then maybe lastly on your top line guidance, because you're not giving us an EBITDA guidance, but we can digest from that a bit or imply what the average membership in growth is. Adding a bit yield per member and doing the math on the phasing of your members, et cetera. if I do a quick and easy calculation, I get to not even 500,000 new members for this year. I know you don't want to give a guidance, but the consent is at 590. So am I completely out of line with my estimate implying it from your top line? Or is the rest completely out of his mind?
René Moos: Well, the thing is we do not want to give guidance, but last year we did 450,000 growth. And we think that is a good number. Without giving any guidance. 
Marc Zwartsenburg: Yes. But that's including RSG issue.
René Moos: Yes, that's including RSG. But the thing is, I think, the RSG should really see as let's say 40x new clubs, instead of, because if we would not have done this acquisition, we would've built 45 clubs extra clubs in Spain. So it's one of the two, but it's not on top of.
Operator: [Operator Instructions] We'll now take our next question from Kris Kippers with Degroof Petercam.
Kris Kippers: Yes. Good afternoon, gentlemen. Thank you for taking my questions. Small ones remaining. First one, given that you now indeed are a bit more prudent on the openings for 2024. Would it imply that you would be keen to get more attention to your franchise? Would you speed that up because the slide shows more clarity in '24, but could you share a bit more light on that? Secondly, we've seen of course the news of Planet Fitness entering the Spanish market. Does this change your strategy or could you give us your view on that? Thank you.
René Moos: Yes. I think when you look at the franchise and the 175 clubs, I would say that opening 175 clubs and of that converting more than 40 clubs is a lot of work. It is not that it is a slow, boring year 2024 with the opening of 175 locations. But we are focusing on franchise, but I do not expect anything sooner than what we just mentioned. The end of the year, we will know where to start and how to start and that is also something that we will communicate end of the year. We are working very hard on it. We are having a lot of conversation. It is a lot of work. But for sure, we will start next year with our first franchise clubs.  If you talk about Planet Fitness in Spain and you look at the Spanish market, I would say that, there is still a lot of growth possible in Spain. I think competition is good. We can still double the penetration in Spain. It’s around 11%. So less than half what it is in the U.S. We think there is a room for competition. It cannot only be orange in Spain where people work out, but we're very comfortable that with our model, we will compete with them. I think the model is similar both low cost. The only big difference, we are cash flow breakeven on 1400 members and they are cash flow breakeven on 5000 or 6000 members. I think Spain is a country where there's still a very long road for growth and not only for Basic-Fit but also for our competitors.
Operator: We'll now take our next question from Lin with KBC Securities. 
Unidentified Analyst: Thank you for taking my questions. I have two remaining ones. First of all, is there any lag or any hiccups with the LSG approval expected in the next few weeks? Or is the working time normal?
René Moos: No, we don't expect any big hiccups. Yes, we had several rounds of questions. We answered all of this. Yes, it is in process now and I think 30 days stands for it. We should be able to close it quickly now.
Unidentified Analyst: Okay. Thank you. Clear. And then secondly, if I'm not mistaken, you guided for yield of 24.5% during the Capital Markets Day for 2024. But I've read in the press release that you're going to change the membership structure again in France going back to the basic. How come then your yields doesn't come down?
René Moos: Yes. What we still see is that, even though we introduced the basic membership of 1999, we still see that 50% of the joiners take the premium.
Hans van der Aar : And to add to that, when we announced that in November to get the market back, we already knew that and took into account that we would reintroduce again the 1999 price. So that calculation of the 24.50 is including the 1999 price for the basic membership in France.
Unidentified Analyst: Okay. Perfect. Clear. And then maybe the last one, I was looking at your, at your convertible bond, and there is a put option in there for 2026, and I was wondering how likely do you think it is that a put option is going to be exercised given that the interest rates are higher than the coupon you are offering right now and that your stock price is far away from the strike price of the bonds?
René Moos: Yes. Well, the share price, as you can see, and you know it better than us is, is moving a lot, up and down. So we have -- it is very difficult to predict where it will be in 2026, but we take it from there and we will see how the market is that way. What we are convinced of is that the business is going very well. We will improve results in ‘24, ‘25 and ‘26 and our debt to EBITDA is dropping every year, so we're very comfortable that, with a bond or a loan or something else we can arrange it. As you seen in this presentation is that the bank loans have been increased and made longer. So we're very comfortable that we can also -- if the bond comes back, that we can work on that.
Operator: And your next question comes from Tore Fangmann from Berenberg. 
Tore Fangmann : Yes. Good afternoon. Thank you for taking my questions. Three from my side. The first is, if you have 100,000 members roundabouts coming from the RSG acquisition and let's say they're slightly above a hundred thousand colleagues, organic member growth in Q1, I would've usually expected Q1 to be higher. And this only due to the difficult situation in France, or are there any other moving parts for Q1 here?
Hans van der Aar : No, there're not, many moving parts. I think what we saw in the first two months is that we grew with 140,000 members. We don't know what the exact number of RSG is going to be like. So, because what I said before during a takeover, you sometimes also have levers. We have not been, able to exactly guess what that number is going to be like. So we do not want to give any guidance that will be set in the past. But the combination with our own growth, the growth in March and the RSG, we’re comfortable that we will see a good growth in the first quarter.
Tore Fangmann : Okay. Taking also a bit on our RSG, is the number of members is lower than for your mature, average gym. How do you think this will increase under the Basic Fit brand?
René Moos: Well, I think, we looked at the location and there were good location, and it was a goodaddition to our network. So we think it'll be successful clubs for us. What we see at the numbers that we saw recently, is that the RSG clubs are also for RSG at the moment, a profitable chain.
Hans van der Aar : But when we open a new club, we make a very detailed calculation how many members we can expect based on the catchment area, based on the amount of people live there. And we made that same calculation for also for all the RSG clubs before we did the acquisition. So we were very confident and we can reach that level of maturity. Of course, when we do our acquisition, as Rene said, we don't know how many members will leave, but because people don't really want to change and we will change the clubs, of course, from their color to the orange color and some other changement -- changes improvements, but we don't know how the members will react. But we are very confident that those clubs will be able to get to the mature level as our own clubs.
Tore Fangmann : Okay. And then one final, just at your capital market day, you said you will stop guiding on the number of clubs you're opening in a year. What did change since November to make the decision today to guide Q4 ‘24?
Hans van der Aar: Yes, what we said during the capital market days is that during the uncertainties in the market and the wars that are going on that we do not want to guide, because that affect us a lot, the things that is happening around us. What we -- so it's not that we don't want to guide anything, but what we do know now is that we will not focus on opening more clubs that will open this year. And for that, it was for us an easy thing to make more clear to the investors and analysts that we will stop at this 1575. And there was no use to hold it back because there is still wars going on. And we do prefer at this moment to have more liquidity than 50 more clubs. So that was the reason that we have decided to give that information rather soon than late.
Operator: Now we are reaching the end of the time. That's all the time we had for Q&A. I'll now hand it back to Richard for closing remarks.
Richard Piekaar: Thank you, Laura, for hosting this call today. Everyone on the call, if there are any further questions don't hesitate to give John, David or me a call. We're happy to continue the discussion. For the rest, I hope to speak to you soon. Have a good, nice day. Cheers. Bye-Bye.
Operator: Thank you. Ladies and gentlemen, this concludes today's call. Thank you for your participation. Stay safe. You may now disconnect.